Operator: Good morning, ladies and gentlemen, and welcome to GreenFirst's Third Quarter of 2025 Results Conference Call. [Operator Instructions] During this conference call, GreenFirst representatives will be making certain statements about future financial and operational performance, business outlook and capital plans. These statements may contain forward-looking information or forward-looking statements within the meaning of Canadian securities law. Such statements involve certain risks, uncertainties and assumptions, which may cause GreenFirst's actual or future results and performance to be materially different from those expressed or implied in these statements. Additional information about these risks, factors and assumptions is included in GreenFirst's MD&A and annual AIF, which can be accessed on the company website or through SEDAR. [Operator Instructions] I will now pass it over to Joel Fournier to begin the management presentation.
Joel Fournier: Thank you very much, Joanne, and good morning, everyone, and welcome to our Q3 2025 earnings call. I'm Joel Fournier, the Chief Executive Officer of GreenFirst. Today, I'm joined by Peter Ferrante, CFO; and Michel Lessard, our President. So we ended up the quarter with a negative EBITDA of $47.2 million. However, the loss is mainly due to selected adjustments. First, we had a $33.8 million duty adjustment related to an underpayment from AR6 for duty paid in 2023. The second item is we recorded an NRV provision of $8.2 million as market dropped sharply from [ $508 per thousand ] board feet in July right down to $420 by the end of September. And the third item is we had to take a downtime at our Chapleau mill to install the new saw line, and this impacted the results by $4.6 million. Without those 3 adjustments, GreenFirst would have been close to breakeven EBITDA for the quarter. I just want to mention that the Chapleau downtime is now behind us, and we're commissioning -- we're going through the commissioning of the new line right now. We expect to see the full benefit in the first quarter of 2026. All those adjustments mentioned affected our cost of goods sold negatively as well. That said, excluding the NRV and the downtime impact we had during the quarter to install mainly the line at Chapleau, our cost per unit would have been better than previous quarter. On a positive note, SG&A remained on target at $32 per thousand board feet in Q3, which is below both last year and our year-to-date average. Another factor that affected us in the quarter was the increase in the duty rate in mid-August, which went up to 35.16% for all export to United States. The increase in duty, along with the uncertainty around potential new tariffs during the quarter created some hesitation with our customers. As a result, our sales volume declined to 93 million board feet compared to 109 million in Q2. This lower sales volume also reflects a reduction in production as Q2, as some people recall, was a record quarter for output, while Q3 was impacted by the installation of the new saw line at Chapleau. As of Q3, we have not paid any new tariff. However, for Q4, we are now subject to a 10% tariff on U.S. export from Canada. This follows Section 232 from United States U.S. Administration, which resulted in the 10% tariff, a measure that is currently being challenged in court. Finally, from the recently announced federal government support as it related to Canadian company impacted by both duty and tariff, GreenFirst is exploring how this new program will help our business going forward. I would like to give to people some highlights Q3 2025 versus Q2 2025. From a sales volume perspective, like we already mentioned, we ended up at 93 million versus 109 million compared to Q2, and it was impacted by market uncertainty and lower production due to the installation of the line at Chapleau. From a production perspective, we were lower. We finished the quarter with 90 million mfbm versus Q2 at 116 million. The main reason for the lower production is what I said. It's because we installed a new saw line at Chapleau and we had to take some downtime to do the installation. In addition to that, we did have also small downtime at Hearst and Kapuskasing, maintenance-related. Due to market uncertainty, we could not have had a better timing to install the new saw line at Chapleau. If people recall, we mentioned that we wanted to do capital expenditure off-cycle. So we did not have better time to install the line at Chapleau this quarter because market was not good. On the quality side, we continue to see improvement in our wood quality versus 2024 as our product mix keep improving. NRV, we did increase significantly from Q2 to Q3. Q2, we had a provision of $400,000 in Q2, and in Q3, this went up to $8.2 million. SG&A, as already mentioned, we continue to be better than our announced $40 per thousand target last year, and we ended up the quarter with $2.9 million in SG&A expense. In terms of cash position, at the end of the quarter, our excess liquidity improved from $22 million from last year Q3 to $27 million this year. The company continued to manage the cash tightly. I would like to discuss a little bit -- I mentioned the line at Chapleau a couple of times. I would like to discuss a little bit about our capital expenditure and continuous improvement plan. So the previously announced $50 million for Phase 1 capital invested program aimed to improving company cost structure, GreenFirst is proceeding only with selected strategic projects. As communicated in Q1 and Q2 this year, the main focus has been the installation of the new saw line at Chapleau. While the downtime of the mill impacted Q3 results to install the line, it was necessary to complete the installation at the optimal time when market conditions were low. It's not good to install a new saw line when the market is very good because it will increase your loss. In addition, we installed a new planer mill and completed a major upgrade to the boiler and cogeneration plant at Chapleau sawmill. So these projects are now in the ramp-up phase now, and we are already showing up and we're already showing up promising results in terms of revenue and cost improvement so far. Subsequent to quarter end, starting mid-October, the Chapleau line started up, and we are making steady progress each week. In the most recent Sunday shift, last week, we processed 2,000 logs in a single shift, which is in line with the ramp-up target. The cogen and the boiler modification had already seen an increase in drying capacity by around 10% and the new planar mill is incrementally increasing production every single week. We expect the saw line to be fully commissioned by the end of December, and we will be ready when the market turn around. Overall, we have committed to invest approximately $28 million at the Chapleau site to improve the site. These projects are expected to improve mill profitability with a payback period of under 3 years. Once completed, the mill will be well on its way to become a top quartile operation. We are planning to organize an investor tour in Q2 2026 with a focus on seeing the new saw line in Chapleau in operation. We will share more detail to the exact date very shortly. We will continue to focus on factors within our control and pursue opportunity to improve the business by focusing on continuous improvement. I would like to talk a little bit about market. Q3 market was a challenging quarter. So some customers because of all the uncertainty, adopted a very cautious approach in response of the recent duty increase and the uncertainty around U.S. tariff during the quarter, which are now in effect in Q4 this year. Our sales volume, as already mentioned, was 93.3 million in fbm, a decrease of 17 million compared to previous quarter. The lower sales volume was mainly due to broader market headwinds and downtime at the Chapleau mill that translate into lower production or less finished goods available to sell. While housing starts fell below expectations, we continue to see strong pull-through from for lumber from our key home center customer. In August, total housing starts in Canada reached 1.3 million units, down 8.5% from July and 6% from August last year. Recent interest rate reduction are encouraging, but they did not materially impact Q3. On the capacity side, several curtailment announcements were made during Q3, mostly taking effect into Q4 this year. Around 50 sawmills will be impacted, removing approximately 400 million to 500 million mfbm from the North American market. With this announcement, we anticipate a positive movement in terms of sales volume. This is a significant drop in capacity in North America. Pricing conditions were challenging as well with Western base price falling from $508 per thousand at the start of the quarter down to $420 at the end of September. Despite all those challenges, there remain a major underbuilt situation in both U.S. and Canada. As announced in previous quarter, the Canadian federal government has introduced measures to increase housing start to 500,000 units per year, which should support lumber demand going forward. GreenFirst is well positioned to capitalize on these initiatives from the government. For Q4, however, we remain cautious in our forecast, anticipating only modest price increase driven by recently announced competitor curtailment. In the short-term, we expect demand to remain relatively flat, while capacity decrease should help balance the market a little bit. On a positive note, we have development shortly -- we had development shortly after quarter end in October regarding the government support for Kap Paper. In addition to this announcement, we received interest from other chip customers to increase the volume. So those 2 news really helped the residue situation. Finally, I would like to say that GreenFirst will remain committed to continuous improvement as a core strategy to enhance business performance. At the same time, we will maintain a prudent and disciplined approach to cash management to ensure the company is well positioned to navigate potential economic headwinds and emerging market challenges. I will pass over to you, Peter, for the financial section. Thank you.
Peter Ferrante: Thank you, Joel, and good morning to everyone. Please refer to our cautionary language regarding forward-looking information in our Q3 2025 management discussion and analysis. The company reported a net loss of $57.4 million in the third quarter of 2025 with an adjusted EBITDA of negative $47.2 million on total revenues of $70.2 million. Excluding the $39.6 million adjustment resulting from the finalization of duty rates in relation to 2023 duties paid, which includes both a $33.8 million in duty liability and a $5.9 million in related interest, net loss would have been $17.7 million and adjusted EBITDA would have been negative $13.4 million. For the 3 quarters ended September 27, 2025, reported a loss for the third quarter, a loss of $66.1 million, along with an adjusted EBITDA of negative $47.3 million on total revenues of $226.6 million. Net loss and adjusted EBITDA both impacted negatively by the finalization of duty rates in relation to 2023 duties paid as was just explained. Revenue decreased by 17% quarter-over-quarter compared to Q2 2025, driven by a decrease in shipments of approximately 17 million board feet or 15%, resulting from a volatile lumber market experiencing macroeconomic headwinds such as elevated interest rates, labor shortages and geopolitical uncertainty. In addition, revenues were negatively impacted by a price decrease of $17 per million board feet or 2%, reflecting a drop in benchmark prices in the back half of Q3 2025. Near-term volatility is likely to continue with higher duty rates on Canadian lumber to the U.S. along with Section 232 tariffs totaling 45% Sales of chips and other byproducts dropped by $1.1 million to $5.3 million versus $6.5 million in Q2 of 2025. This was due to lower volume of sales and a drop in average selling price. For the third quarter ended September 27, 2025, the company reported cost of sales of $75.6 million compared to $80.1 million for the second quarter ended June 28, 2025, a decrease of approximately $5 million or 6%. This decrease in cost of sales was primarily driven by a 15% decrease in shipment volumes, offset by the downtime of the installation of the Chapleau large log line and selected other downtimes and curtailments. Additionally, in the current period, the company recorded a provision for the net realizable value of inventory of approximately $8.2 million related to decreases in benchmark prices. Lumber production for the third quarter of 2025 was 91 million board feet compared to 116 million board feet in the second quarter of 2025. This decrease primarily attributable to the reduction in production experienced during the period is in relation to the capital project installation at Chapleau, which are expected to return to normal levels in Q4 2025 with increased production in Q1 2026. During the third quarter of 2025, the amount of duties needed on our shipments of softwood lumber into the U.S. totaled $8.9 million, which is up $700,000 from the second quarter of 2025. Although shipments in the U.S. were down $12.6 million during the quarter versus prior quarter, duties paid on shipments did not decrease as much since our duties rates rose from 14% to 35% starting August 2025. In addition, during the third quarter of 2025, we recorded a $33.8 million duty liability related to the finalization of the countervailing duty and antidumping rates by the United States Department of Commerce following Administrative Review 6 for the 2022 duty period. Selling, general and administrative expenses for the third quarter of 2025 totaled $3 million compared to $4.6 million in the second quarter of 2025. This decrease is primarily attributable to noncash expenses recorded during the second quarter. The combination of these factors during the third quarter of 2025 resulted in a negative EBITDA of $47.2 million or $13.4 million, excluding the duty liability discussed previously versus a negative $5.2 million in the prior quarter. Under the amended and restated credit agreement, the company's maximum borrowing capacity under the revolving portion of the credit facility is $60 million and the equipment financing portion is $25 million. The company has made net borrowings of $19 million on a year-to-date basis ended September 27, 2025, against the revolving portion of the credit facility. Of this $19 million, $6.5 million was drawn during this quarter. As at September 27, 2025, there were $14.1 million of outstanding letters of credit issued, which reduces the amounts available to be drawn under the revolving credit facility. As such, approximately $27 million was still available to be drawn. Additionally, the company had net aggregate amount of $11.6 million drawn under the equipment financing portion of the credit facility in the term -- in the form of a term loan and an additional $13.4 million was available to be drawn. As a company, we continue to manage our liquidity through the volatile lumber markets and harvesting season, which requires significant investments in raw materials. We do this prudently by maintaining tight inventory management at the mill level, supplemented by drawdowns against our asset-based lending facility to cover seasonal expenses. Our lending facility, which was amended and extended to September 2028 is secured by borrowings against our inventory and receivables. As a result of higher levels of inventory, those help support our credit facility during the harvesting season. This concludes my remarks, and I will pass it over to Joel.
Joel Fournier: Thank you very much, Peter, and I want to thank everyone for joining the call. We will now answer any questions that have come through. Thank you.
Operator: [Operator Instructions]
Joel Fournier: This is Joel here. We have one question. Could you share the company perspective on the recently announced increase in duty and additional tariffs? I will let Michel Lessard, our President, to answer that question.
Michel Lessard: Thanks, Joel. For sure, it's not a good news to have a 10% tariffs in addition to the 35.6% duties that we're already paying that you mentioned also previously. Also, the other thing is we don't know yet what will happen with the other 10% that has been announced by President Trump in reaction to the publicly made by the province of Ontario. But on that, we believe that it will not impact the industries part of CUSMA, such as GreenFirst is part of. So that being said, so we're hoping that the lumber industry will be in the top priority of Prime Minister Carney in his discussion with the President Trump. We hear our Prime Minister talking about steel, aluminum, cars, energy, but not enough about the lumber industry. So we have to continue to work with this team, with the Prime Minister and also with the province of Ontario. They need to be sensitive about also the situation of the lumber industry. And for sure, we'll continue to push on them also to get the best settlement and outcome also for the company as soon as possible. In the meantime, we continue to explore different market opportunities.
Joel Fournier: Okay. This is Joel again. We have 2 questions that are similar here. The first one is, could you provide some insight into current demand level and pricing? And the other question is the company reported both a drop in sales and production versus the previous quarter. Can you talk a little bit more what's behind that? So I will answer those 2 questions. So the first one, overall, Q3 pricing was slightly lower than Q2, but we started the quarter with a strong and continue to experience a significant decline between July and September. So price were up -- price were good at the beginning of the quarter, and then it was a steady decline through the quarter. The uncertainty related to tariff and high interest rate in U.S. have had a negative impact on demand. However, the recent announcement from the Federal Reserve to reduce interest rate was encouraging. With that said, we did not see a significant impact on lumber demand in Q3 yet. We shipped, like I said earlier, 93 million fbm in the quarter. This volume was largely driven by our long-term relationship with key home center customers, which we believe will minimize demand uncertainty and will bring more stability for the company. In fact, we're looking to continue to grow that business. At the same time, the sales were lower than previous quarter, mainly due to downtime, in particular, the line -- the Chapleau mill in order to install the new large log line that will bring more benefit shortly. There's still a significant shortage in new housing build in North America, which should provide more demand for lumber in the upcoming months. In regards to the second question, so I'll continue here and answer it as well. The drop in sales was due to lower lumber demand driven mainly by uncertainties surrounding higher duty rate and potential U.S. tariff that is now in place in Q4. In addition to the market uncertainty during the third quarter, the lower sales volume was impacted by lower production, again, mainly driven by the -- like I said, the Chapleau mill for the installation of the new line. The good news is that we continue to grow our sales with big box store, like I mentioned, and we had a record quarter in Q3, reflecting the long-term partnership. Okay. We do have another question here. In terms of your liquidity, we noticed that the outstanding letters of credit have increased compared to previous quarter, which appear to negatively impacting your excess liquidity. Can you provide some additional context? I will let Peter, our CFO, to answer that question.
Peter Ferrante: Yes. Thanks, Joel. So yes, the increase comes from the annual requirement to place 30 bonds equal to 10% of the upcoming year's anticipated duty payments. As you know, duty rates have increased to approximately 35% for the upcoming period. Everybody knows in today's environment, many surety bond companies also request to put a letter of credit to support the surety bond, which was the case for us. In the interim, we are working with various financial institutions with regards to how we can obtain support for these letters of credit, hoping that we could increase our excess liquidity position.
Joel Fournier: This is Joel again. We do have another question. Can you provide an update on the CapEx related to the Chapleau large log line? I will answer this question. Like I already mentioned, as always, we're taking a prudent approach for the CapEx expenditure. We did finish installing the large log line at Chapleau, the new planer mill and the refurbished cogeneration plant at our Chapleau sawmill. We are currently in ramp-up mode and everything is moving along as expected. We're expecting the combination of this project to have a positive impact on the mill profitability profile going forward. The large log line will increase production, reduce cost and will bring great benefit overall to the company EBITDA. As an added benefit, we are closely working to get part of the project financed by the provincial government to reduce cost of the total project. We do have another question here. Can you explain a little bit more about the feasibility study for the torrefied pellet and biochar plant that will help the residue situation potentially? I will let Michel answer the question.
Michel Lessard: Thanks, Joel. As you know, and I mentioned that to the previous calls also, the pulp and paper industry remains very challenging with the closure of 3 major mills over the last 2 years in Ontario and also the one in Temiscaming in Quebec from Rayonier. As such, we continue to look for alternative way to use also the byproducts from our sawmills and also to enhance the value of them. In other words, we would like to be less dependent on the pulp and paper industry. So we completed our first study to install a biochar and also to pellet plant in Chapleau, and that showed also very good results. So we are now proceeding with a deeper analysis to review the business case. And at the same time, also, we are looking further opportunities for each of our sites. We're also working with the partner and also potential customers with who we have LOIs in place. We cannot disclose any more details at this time, but we should be able to provide an update during the upcoming quarters.
Joel Fournier: We do have another question here. Following the Prime Minister announcement of the $1.2 billion in federal support program for the softwood lumber industry, does the company anticipate benefiting from this program? I will let Michel, our President, to answer the question.
Michel Lessard: Thanks. Yes, the answer is yes. So we're certainly anticipating benefits of this announcement regarding lumber industry. So mainly for the 3 following communicated items that has been made in last August 5th by the Prime Minister. So first one is about the $700 million in loan guarantees. Second one is about the $500 million in for market diversification. And the third one is about the 500,000 new homes per year over the next decade. So for now, we've just received details regarding the loan guarantees program, and we're working to get access to it. So based on program, the company could get access up to $20 million. So it's a very interesting program. For the other ones, we are still waiting for details, but we anticipate that it will be beneficial for us for sure. Again, hoping that we will get these details soon and we are in touch also with the federal government, again, to get access to it as soon as possible. Okay. So we do have 2 other questions here. Just want to make sure -- this is a question. I just want to make sure I understand the duty piece correctly. GreenFirst doesn't have a cash cost expenses for duty. It's paid by the importer customer. So the impact of duty during the quarter should be just lower revenue. The company could have a liability in the future if you flip from overpayment to underpayment. Is that accurate? I will let Peter, our CFO, to answer that question.
Peter Ferrante: I'll break this answer in 2 pieces. So first part of the question with regards to cash expenses for duties. And so it's actually paid by us. So we are the importer into the U.S. We pay the duties by the time of importation. So that answers that question. And the company could have a liability in the future if you flip to overpayment. So we're currently in -- when you look at Administrative Review 6, we made payments on average of 20% in the first part of the year, followed by 8%. And when Administrative Review 6 came in play, it came in at 35%. So we were in an underpayment situation for Administrative Review 6, but we filed the necessary appeals moving forward. Hopefully, I've answered that question.
Joel Fournier: We do have another question. What would the quarter have looked like if Chapleau was operational? I'm trying to determine whatever we expect the mill to generate cash next year if lumber prices are the same next year. So I will answer that question. First off, if we look at Q3, we had we had major onetime adjustment. First off, like we recorded a negative EBITDA, but mainly it was due to the $33.3 million duty adjustment, which is noncash. But also we had an NRV provision of $8.2 million. So this is one of -- it's one of the biggest NRV we had with GreenFirst. And also, the downtime at the line at Chapleau impacted us with $4.6 million. So without the NRV and without the downtime at Chapleau, let's assume we keep running the mill, we would have been very close to breakeven EBITDA, which is very encouraging from my perspective. If I think ahead and I think only about the Chapleau mill, -- the initial -- we're commissioning the line right now and the initial results are very promising. So we expect if -- first off, I will answer the first part of the question. So if the mill at Chapleau was running during quarter, our cost would have been below expectation. The main -- the downtime that we had at the Chapleau mill didn't impact our cost as long as the NRV. So without those 2 items, our cost would have been better this quarter versus last quarter. Looking ahead, when we're done with the commissioning of the line at Chapleau, in today's market, we believe the mill will be positive cash flow going forward after we're done with those CapEx. Okay. So we don't have any more questions. I would like to thank all the participants on the call, and thank you very much. Have a good day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.